Magnus Ahlqvist: Good morning, everyone, and welcome to our Q4 and Full Year 2021 Call. Andreas and I will go through the performance for the quarter and the full year, but we would also cover some strategic highlights towards the end of the presentation. But first I would like to share three highlights from 2021. We had a good finish to the year with consistent improvement in profitability. And we delivered significant growth in operating results and the highest margin in more than a decade. But our ambition in terms of margin improvement is much higher for the coming years. But the good performance is the result of strong execution of the strategy across all parts of the business. The investments we have made in modernization and digitization of the business are starting to generate good returns. And at the end of 2021, we closed two large transformation programs and also the COVID related program. And the first two, North America and Global IT have been instrumental in creating a more modern and more efficient operation. And in early December, we announced the acquisition of Stanley Security. And joining forces with Stanley Security is a game changer for Securitas and our clients and it's also instrumental in changing the profile of Securitas to more technology and solutions and significantly higher margins. And we will share a little bit more about the value creation benefits of the North America program and an update regarding standard security after the results overview. But shifting then to the numbers and the performance, we are executing on our strategy and this is generating results. The organic growth in the quarter was 4% despite significant temporary negative impact from C19 related extra sales, primarily in North America but previously also then announced low-margin contract terminations. Momentum in Solutions and Electronic Security improved further in the fourth quarter with growth of 10% in real terms. The quality and the profitability of the portfolio is our highest priority and we are winning more business at improved margins versus last year, so good commercial momentum also in the fourth quarter. The operating margin improved to 5.9% in the quarter and the full year operating margin came in at 5.6% and that is also significantly higher level than what we have achieved in recent time. Strong development like I mentioned across all business segments was the result of a clear focus on continuously strengthening the client value proposition, active portfolio management and also cost savings that we have initiated over the last couple of years. And after a turbulent 2020 when we increased bad debt provisions, we have kept provisions largely unchanged during 2021. And in terms of the COVID related impact, we currently have around 600 people on temporary unemployment support and this is the lowest level since the beginning of the pandemic. Government grants and support were also significantly reduced in the fourth quarter, which is also something that we consider very positive, because it means that we now have more of a business-as-usual situation again. The labor market is challenging and we have seen rising inflation. But having said that we have been successful in working with clients to balance, which increases price increases up until now and we believe that we are in a good position to manage also in the months ahead. And with solid cash flow throughout 2021 and in Q4, we are also in a good position now in terms of debt and well-prepared for the Stanley acquisition. Related to the dividend the Board is proposing an increase of 10% to SEK 4.40. And with that overview in terms of the group level, we then shifting the focus to North America and the organic sales growth was flat in North America in the quarter. We have good portfolio development thanks to strong new sales and also price increases that play an important role and also supporting the top-line. But from a volume perspective, these positive developments are offset by temporary negative impact from the C19-related extra sales where we have very high comparatives and also negative impact from the previously announced low-margin contract terminations. And if you're looking at the extra sales we are now back at pre-COVID levels and this is negatively impacting the growth in guarding until approximately the middle of this year. And the previously announced healthcare contract was terminated in December with some negative impact in the quarterly organic sales growth, but will have a full impact in the first quarter. But as I stated earlier, these are temporary factors and most important is the development of the portfolio which is good and also the overall profitability of the portfolio and we feel really good about that development in the North American business. Electronic security was negatively impacted by component shortages, but we saw some positive growth in Critical Infrastructure Services in North America. And shifting then to the profitability. Despite some of the temporary volume headwind as you can see in this chart, the margin development follows a very positive curve in North America also in the fourth quarter with significant improvement versus last year and also versus 2019. And this is the result of a number of factors, but we're now starting to see and I think this is an important one clear returns from the North America transformation work with a good impact in Q4, but where we also expect further improvements in 2022. And this impact is most visible in our guarding operations where we have seen significant improvement in profitability despite having some of these reductions in C19-related extra sales. Strong performance in our corporate risk management team, the Pinkerton business and also electronic security profitability development contributed in a good way to the overall margin development in North America. So in summary, looking at North America, we have solid development in terms of profit growth and margin development, but some headwind temporarily in top-line growth for the coming quarters. And turning then to Europe where the good momentum continues in the fourth quarter with solid growth in most countries. And after a tougher period during the pandemic I'm also very glad to see improving momentum and double-digit growth in solutions and electronic security. And these higher-value businesses are now representing 25% of the total business in Europe. We've also seen improving demand in aviation that had some positive impact on the growth in the quarter. And also very positive in terms of the profitability development in Europe where we have generated consistent improvement in margins throughout all quarters of 2021 also when comparing versus pre-pandemic times so 2019 and 2018. And this margin improvement is broad-based. Cost reduction programs are generating results. But here we actually also have some positive impact from COVID-related extra sales. And as commented at the beginning, government support and grants are materially lower in the fourth quarter, so now coming into hopefully more of a business-as-usual situation in the coming quarters. So our European team drove solid performance in 2021 and at the same time have been investing significant time and effort in the transformation program, which will help us achieve a stronger business mix and structurally higher profitability in the mid-term. And shifting then to Ibero-America, solid growth in Ibero-America of 11% was primarily driven by Spain and Latin America with price increases in Argentina. We recorded double-digit growth in solutions and electronic security in the quarter, which is also very positive in terms of recovery after the pandemic and building more momentum, and Ibero-America now leading the way with more than 30% of sales from solutions and electronic security and also very good client retention. And from a profitability perspective, we have taken extensive actions in the last few years to create a sharper, more focused but especially also more profitable business in Ibero-America. And these actions are now starting to pay off and this is visible and significant margin improvements and a very positive margin curve. And the operating margin here of 6.3% is one of the highest if not the highest recorded in modern time, so very positive on the profitability. Spain is the main driver of this development. And in light of the Stanley acquisition this is an important reference case from my perspective, because it shows what we can achieve when we have strong leadership, strong electronic security capability, solutions and guarding offerings and also where we're working in close partnership to enhance the value together with our clients, so thanks to all the good work in Ibero-America. We have a sharper business as we enter 2022. So I think with that happy to hand over to you Andreas for some more details regarding the financials.
Andreas Lindback: Thank you, and very good morning, everyone. We start then by looking at our income statement. Q4 was a good quarter as Magnus has referenced to here where we continue to see a good recovery in the business and we had solid organic growth at 4%, supported by Europe and Ibero-America. North America's growth was hampered by reduced corona related extra sales and the previously announced low-margin contract losses. The operating margin came in strong in the quarter at 5.9%. This is 0.6% better than last year, which had increased provisioning levels of SEK80 million. However, it is also a material improvement looking at the 2019 when we had a 5.3% margin before the pandemic started. It is encouraging to see positive impacts from our transformation and cost saving programs combined with the strong portfolio and profitability focus from the organization. We saw continued decline in corona related government support in the quarter. As you may remember we received SEK100 million in the third quarter and SEK195 million in the second quarter. Now in Q4 this was SEK50 million mainly related to Europe. This is also substantially less than the SEK230 million we received in Q4 last year. As we have highlighted earlier this government support is mostly related to temporary unemployment and has partly compensated for the related idle time costs that we have had. This trend is also in line with us having a reduced number of people on temporary unemployment, which now in January was approximately 600, and which has continuously declined from the peak of approximately 10,000 in April 2020. If we then go below operating results, amortization of acquisition related intangibles was a bit higher than the run rate in previous quarters, after making some one-off adjustments to the portfolio at year-end, but we expect to be back on normal levels again here in Q1. On acquisition-related costs, basically no major news here. The cost is mainly related to integration and restructuring costs for the previously announced acquisitions during the year, and they are also on track versus the plans. Looking then at items affecting comparability, here, we had SEK356 million of cost in the quarter SEK111 million of this was related to the C19 cost-saving program and SEK183 million was related to our ongoing transformation programs. This totals to SEK294 million. But then, we also had transaction costs related to the Stanley acquisition of SEK62 million coming in at the end of the year. This is part of the US$135 million transaction integration restructuring cost that we announced here in December. These costs will be reported as items affecting comparability going forward for ease of comparability. Looking at the financial net, it came in at SEK83 million in the quarter and SEK364 million for the full year. This is a bit lower than what we mentioned to you here in Q3, and is mainly related to the strong year-end cash flow, and some FX gains we had during the fourth quarter. The tax rate for the full year came in at 27.6% compared to 27.4% last year. This is a bit higher than the full year forecast of 27.0% and this is mainly related to tax effects on non-deductible transaction expenses related to the Stanley transaction and then some year-end true-ups here as well. If we are moving then to the next slide, where we have some more information related to the different programs under items affecting comparability. Here, I should first mention briefly that we have an accounting change related to cloud computing, which you find more information about in Note 1 of the report. The change has no material historical impact. It has no cash flow impact nor does it have any impact on any business cases related to the transformation programs. But it do have an accounting impact related to the split between CapEx and OpEx for our European and Ibero-America programs going forward. In Q4, going into the programs we have now closed both the global IS/IT program, and North America transformation programs, as well as the COVID-19 related cost saving programs. These programs closed within the budget we announced initially. And as Magnus mentioned earlier, these programs have been successful and we have achieved the set saving targets for the IT and COVID-19 program, and we see positive impacts from the North America transformation program in Q4. The transformation program in Europe and Ibero-America are on track and we had a cost of SEK380 million here in 2021. As you remember, we announced the total cost of these programs to SEK1.4 billion items affecting comparability and SEK1.1 billion CapEx. With the announced accounting changes, the items affecting comparability increases SEK250 million, while CapEx decreases with the same amount here. For these programs, we estimate the IAC for 2022 to be in the range of SEK500 million to SEK600 million, then also including the 2022 impact of the cloud computing accounting changes that I mentioned. Then as I also mentioned earlier, we have some costs related to the Stanley transaction here as well. So summarizing 2021 on the left-hand side, we end up with the net items affecting comparability of SEK871 million for the full year. And that is in the middle of the range we communicated in Q3, when we exclude the cost for Stanley, which was not known at that time. Then moving to the next page, looking at the currency impact in the quarter. In the fourth quarter we saw a positive FX impact on sales and operating result of 2% mainly due to the weakening Swedish Krona especially then comparing to the US dollar. This is a change of trend versus previous quarters where we have seen a negative effect from currencies. When you go to the EPS you see a slight change of the currency impact which is mainly due to a different currency mix below operating results. For the full year we still have a negative minus 5% impact from currencies on sales and a bit higher impact the further down you go in the income statement. The EPS adjusted for both currencies and items affecting comparability improved 23% in the quarter and 37% for the full year. We then move on to cash flow which is something we are very happy about in the quarter. Cash flow from operating activities was SEK 2.2 billion in Q4 or 131% of the operating result. We had very good collections of accounts receivables and reduced DSO which are the main drivers behind the positive cash flow, even better also considering that we had solid growth in the quarter which normally also consumes some cash. For the full year, we had an operating cash flow of SEK 5.6 billion which is 93% of the operating result. This includes SEK 2.8 billion of CapEx which is then basically 2.6% of sales. And CapEx continues to have a run rate below 3% as we have earlier also communicated. This includes for clarity all CapEx related to the transformation programs as well. Comparing to last year, we should remember that 2020 was supported by corona-related timing relief measures of SEK 1.3 billion mainly then related to North America. We have paid approximately SEK 600 million of this, in this year so far. So when we are comparing 2021 to 2020 we should remember there is a SEK 2 billion delta related to these corona-related timing differences between the years and the 2021 cash flow adjusted for this was actually even stronger. And then we will also pay the final SEK 600 million of this timing release in 2022. The free cash flow for the year ended at a strong SEK 4 billion after the tax and financial flows. We can then move on to the next slide related to net debt. We continued here to strengthen our financial position after another quarter and year with strong cash flow generation. Net debt ended at SEK 14.6 billion at year-end. This is a reduction of SEK 1 billion comparing to Q3 this year and SEK 200 million higher than in the beginning of the year, where we should highlight that the translation impact was material throughout 2021. We had a positive free cash flow of SEK 4 billion as I just commented on the previous page. And then we have made acquisition payments of SEK 1.4 billion mostly related to the acquisitions of Protection One in Germany, Brand Technique in Denmark, Tepe in Turkey and now in the fourth quarter, Supreme Security in the US. We paid approximately SEK 600 million related to our transformation and cost-saving programs. And in Q2, we also paid the annual dividend of close to SEK 1.5 billion. All in all these effects decreased the net debt with almost SEK 700 million and then we had a material negative effect from revaluation and translation of almost SEK 900 ending the net debt on 14.6. The net debt-to-EBITDA reduced during the quarter to 1.9, strengthening our financial position further. As you know, our financial target is 2.5. So we are materially below this target as we speak. We are preparing, of course, the balance sheet ahead of the Stanley Security closing, and we will have focus on cash flow generation also going forward to ensure good deleveraging after the Stanley transaction. Moving on to the next slide and looking at our financial position and debt maturity short. We have solid financing in place today as you know and none of our facilities have any financial covenants. We also ended the year with a strong liquidity of SEK 4.8 billion after the strong cash flow that we generated here in Q4. As we earlier said, we also have renewed our RCF facility with our 10 core banks for a total amount of SEK 9.6 billion. The original facility was for five years. We have extended for one year to 2026 with the option to extend for another year. Then we have an upcoming maturity here in 2022, where we are currently planning the refinancing. When we communicated the Stanley transaction in December, we also announced that we had signed a bridge facility with SEB to secure the funding of the transaction. This facility was done in December further partly syndicated among seven of our core banks. The bridge facility will be refinanced after the acquisition closing with a mix of debt and equity, where we will also do a US$915 million rights issue. The plan remains here to execute the rights issue as soon as possible after the closing, and thereafter refinanced the remaining part of the bridge facility in the debt markets, and we will come back here with further details around this after closing. As a consequence of the announced acquisition, Standard & Poor's have put us on CreditWatch with a negative outlook, where they indicate that a downgrade likely will be limited to one notch. Important to mention here that our commitment to investment grade remains. And as we communicated in December, we will focus on deleveraging our balance sheet after the closing of the Stanley acquisition. With that, I now hand back over to you Magnus.
Magnus Ahlqvist: Very good. Thanks a lot Andreas. So before we open up the Q&A, I would just like to share a few updates regarding the progress with the Stanley Security acquisition, and also give some more practical examples in terms of value creation we're starting to realize with the North America transformation program. But starting then with Stanley. At the beginning of December, we made the announcement to acquire Stanley Security. By joining forces, we will build the foundation to be the most attractive choice for our clients, as a leading intelligent security solutions partner. And we continue working expeditiously internally and with the Stanley team on integration planning to prepare for closing, and the key customary regulatory processes are progressing well over the last days since we made the announcement. But when looking at the future of the security industry, we see three capabilities that are the most important, and these are related to the power of presence, connected technology and intelligent use of data. And we believe that the winners of tomorrow are the companies that are able to combine these assets and providing the best client experience. So with the acquisition of Stanley Security, we are positioning the company for higher margin and also higher growth business in electronic security, security solutions and data-driven so-called SaaS services. And those are obviously represented in the right part of the chart that you see to the right here. But if you're looking at Securitas and the investments and the changes that we have been driving, and the modernization during the last three to four years, we have more modern platforms and a sharper business than ever before. Technology is becoming more important for our clients and we have built significant leadership competence in terms of how to run the electronic security business and we have a strong team in place that is now leading the preparation work ahead of closing the acquisition. But together with Stanley, we are shifting the profile of Securitas in terms of the offering, in terms of the value creation for our clients. It will also be immediately margin accretive to our business and over 50% of the profit contribution will come from higher value and higher growth security solutions and electronic security. And together with the other initiatives and programs we are driving, over the last 24 months, this will also lead to substantial operating margin improvement in the coming years. And since the announcement, we have received tremendous response from our clients to this announcement with a lot of anticipation regarding the opportunities that this combination will create. And this is something that I've also had with a number of our key clients very similar discussion and clear recognition, but also a very positive expectation in terms of the opportunities that we're able to create after having joined forces with a great standard security team. And Stanley Security team they have repositioned the business for growth in the last few years with a more stable and stronger management. And while they will be leaving a leading player like Stanley Black & Decker as a group, which is a leader in its field of tools, the Stanley Security business is at the core of the security strategy and we are looking forward to welcoming the team to a leading player in security and safety. And the reason I say it is that I believe that it is fundamentally important for the team internally but also for the quality and how you actually create value over time. being at the core of the business and that will be the case with the Stanley Security team and the electronic security business in Securitas going forward. And in the current process we have significant benefit as well from successfully having acquired and integrated the Stanley business in five countries at the end of 2020 and with a strong return on those investments. And today like I mentioned, we have dedicated and strong electronic security leadership team that is managing the integration and together with Stanley leaders then also the creation work after closing. And while the cost synergies are important, this combination will position us for strong commercial synergies cross-selling opportunities across millions of client sites, high-margin solutions development, and a very strong value proposition for clients globally or some of the examples of critical sources of commercial synergies after close. So, together with Stanley, we are in a solid position to create an outstanding team who is perfectly placed to win in the security services industry in the years to come. And as previously stated, we have full focus now on the integration planning and creation work and expecting to close during the first half. So, let me now shift to a brief update related to the North America transformation program. But before that this is an overview that we have shown for a couple of years now I believe and that is because we have been and we still are to a large extent in a period of extensive transformation and modernization of Securitas. But I'm very glad to reiterate the point that Andreas mentioned, and that is the fact that we are now closing the first two important programs, global IT and North America business transformation. And the global IT program was a comprehensive change in terms of how we organize and how we operate IT and we are on track to achieve the targeted savings. And as a result of this work, today we are operating on modern platforms with enhanced transparency, efficiency and also greatly improved resilience. And the North America program has also been closed like I mentioned and I will share a lot more detail about that on the following page. But if you're then looking at the lower part of this picture, we also have the programs in Europe and Ibero-America. And here, we are leveraging the significant experience from the first programs and we are progressing according to plan. But with that, let me just share a few details also related to the North America program, because we have talked about this as transformation programs. And when you hear the word transformation, I think that's a word that is quite frequently used, maybe too frequently. But the work that we have done in North America truly is transformative. And to make it a little bit easier to understand what this means, on this page, we have outlined some of the focus areas of this transformation program, a few of the key targeted benefits and how we leverage this to create higher value. And as you can see, this has been extensive work, since we initiated the program, planning in 2018 and announcing it in early 2019. But we are now firmly on track to deliver and exceed the targeted returns of these investments. We have gone from old systems and applications and many ways of working to modern state-of-the-art applications that enable us to manage core processes and our business in a way like never before. And the rollout and critical transitions have been achieved with more than 10,000 clients, 120,000 employees in the division and 4,000 team members in line or support positions. So as you can imagine, a large part of the 120,000 are officers, working in the front line that are also now positively going through a number of these changes. And everything has been built with the digital cloud and mobile-enabled future in mind, a future which is now here for us today, for our clients and team members in Securitas in North America. And when you then look at the benefits of this and the value creation from this program, they are extensive and they include all aspects of our operation. First, the way that we work with our clients and our people. In our industry, the company with the best client value proposition and the best employee value proposition will win and there are numerous benefits in both of these areas. But modern systems and applications will also make it significantly easier to run a more efficient and profitable operation, addressing key areas, such as reducing unbilled overtime and wage creep, just to mention two examples. So with more data at our fingertips than ever before, we're also in a much better position at all levels and in the front line to manage price wage together with our clients. And as commented earlier, we're now starting to see positive impact on our operating margins in North America from these investments. And as we further optimize the systems and ways of working over the next 12 months, we also expect to generate further improvements that will translate to improved margins and cash flows. So North America is a significant part of Securitas global operations and our team has done a tremendous job in driving this work and we are very excited about the next phase of development. And with that, I think we are good to sum up the quarter. So we finished the year in a good way, with consistent profitability improvement and significant growth in earnings. And we continue with an important agenda for 2022 on building the new Securitas, modern, digitized and innovative security solutions company. I should also mention that due to the Stanley acquisition, we have decided to arrange a strategy update and that you will receive an invitation to as soon as we have closed the acquisition in the first half. So with that, happy to open up the Q&A.
Operator: Thank you. Our first question comes from Rahul Chopra from HSBC. Please go ahead. Your line is open.
Rahul Chopra: Hello. Good morning and thank you for taking the questions. I have three, if I may. First is that, given labor scarcity situation in North America, maybe could you give us a color of what is the overtime versus the normal peak hours you have typically and maybe some clarity on how you're dealing with labor scarcity situation in U.S. That's the first question. The second, in terms of your -- now that you're doing planning into value creation for Stanley Security, could you give -- could you have more clarity on revenue synergies besides the cost synergies which you previously alluded to and maybe -- and anything in terms of cost synergies that would potentially change during the planning exercise which you are doing that will be helpful. And my final question is in terms of, how should we think about cross-sales getting to normalized levels throughout the 2020 level, where do you see the normalization or probably further headroom that had been spent there? Thank you.
Magnus Ahlqvist: Rahul, Magnus here. Can you just clarify the first question? Was that related to -- what that was related to? I picked up labor market potentially and wage, but I just wanted to make sure we answer the right question.
Rahul Chopra: Sorry. Sorry, it was relating to the over time. Maybe, how is the overtime basis, the normal peak hours and given the labor scarcity in North America? And what are you seeing there?
Magnus Ahlqvist: Thank you. So if you look at North America, it is a situation and it's been continuously challenging situation after the most intensive COVID period in terms of labor scarcity. And I think that is well documented. There is also good knowledge and awareness of that among the clients. What has that meant? Well, we believe that this has generated in some more overtime work in our business and most likely also in that of our competitors. But that's something that -- I mean we are managing through that in a good way, as you can also see in terms of the profitability development. So I think that will be the main comment that I would make. We've also made a comment, which I think is related and of high importance related to your question and that is, the price wage balance and we've had solid progress up until, now in terms of driving price increases and ingredient price increases with our clients in North America and believe that we are well positioned also to do that successfully in the coming months. On the second question in terms of Stanley Security and revenue synergies. Well, there are a number of different areas here that we believe are very important. And first of all, of course, there will be hundreds of thousands of clients with millions of sites where we are able to drive cross-selling. We have a very strong offering of protective services. And that will obviously be something that we will also in the future where technology and connected technology is more important and integrated solutions. And we will be in a really good position to offer significant value, but also a menu of options that will help and address the client needs. And other one that I believe is important, but just for one category of clients that is looking at the presence that we have in Securitas globally, but also combining with the strength of Stanley Security together with all the investments that we have made in acquisitions in electronic security over the last six, seven years. We will also be a very strong partner. And I would argue, a uniquely positioned partner to our clients as well who can also help them, not only with the global program in terms of strength on the guarding side, but also with technology and integrated solutions. And that is also one which we also believe is going to be an important source, in terms of value creation as we go forward. And the last question that you mentioned was related to extra sales. And if you look at extra sales, we have seen a significant normalization of the extra sales in North America, specifically in the U.S. And that is really like, I highlighted at the beginning also the main negative impact on the organic growth for currently, but also for the next two quarters essentially because we have high comparatives. If you're looking at Europe the extra sales levels are lower now than where we were, at the peak of the pandemic but still a little bit above I would say, where we would normally be. So that is really the situation. So on the total picture Rahul, I would say, it's more of a normalized situation, because then obviously we also have an ambition that when some of the COVID-related extra sales are being wound down that we're also then able to increase, thanks to our good presence also more normal type of extra sales which are even more related to events and activities that haven't been possible due to the impact of the pandemic.
Andreas Lindback: On your first question there Rahul, I think you're touching an important point when it comes to how we are working with overtime and other KPIs and the labor scarcity in the market here. I mean, that is what we really want to highlight with the transformation program in North America. We now really have a transparency by contract for all of these KPIs and the cost drivers on the different contracts. And that has made us being able to manage the sort of price wage, but also the different cost items as overtime in a different way compared to before. And that is why we have been overall successful here with the modern development in North America where we see an impact from the program. So there is a direct link there with that increased transparency that we are now having.
Rahul Chopra: Understood. Thank you so much.
Andreas Lindback: Yes.
Operator: Thank you. Our next question comes from Kate Somerville from UBS. Please go ahead. Your line is open.
Kate Somerville: Hi. Good morning everyone. So I've got three questions, if I may. The first is on the 70 basis point improvement in the margin in North America, are you able to break down how much of that was from the restructuring and then, maybe for mix and then from the price wage assuming that's flat? And then the second question is that the 50 basis point benefit that you're expecting in 2022, is this just from efficiency benefits, or how much of that are you expecting from mix? And then the final question is on Stanley. The 10-year average organic growth was minus 1%. I understand it's a better strategic fit for you. But at what point do you expect its growth to be more in line with the growth of Securitas Solution? Thanks.
Magnus Ahlqvist: Thank you Kate. If you're looking at the profitability in North America, it has been consistent throughout 2021. But we were starting to see improvement and real impact like I mentioned from the transformation program. And that is a transformation program because we have essentially modernized and digitized and automated how we are operating and running the business. So it's more of transformation and improving efficiency and productivity as opposed to restructuring. That has a significant positive impact and that is primarily on the guarding side and the guarding operation. But we also had very positive development on our corporate risk management business. And there was also positive development on the electronic security business where we also had significant improvement in that quarter. So it is really a mix of different factors but we don't break out in more detail than that, but generally speaking good impact and improvements. On the margin ambition, when we announced this program, which was back in 2019 we were operating around 6% margin in North America and we said up to 0.5% improvement. We feel really good as you can see and if you're looking back now in terms of the achievements that we've had to date. But when we are repeating the 0.5 that is also to just underlying the message that we believe that there is more opportunity for us for further improvement in 2022. But we don't specify exactly how much improvement. But we do feel confident based on everything that we have done so far and the positive impact that we're on a really good curve thanks to the investments that we have made and also running the business in a sharper and more data-driven in a better way essentially. And then on the last question and reflection on Stanley and you mentioned the 10-year growth there, I mean we have seen that as well from a distance of course. But I just want to highlight that when I look at the work that the Stanley team have been doing in recent years in terms of repositioning the business for growth and also for more innovation -they're clearly on a good path. So we feel when we look at the business and the strength that we're going to have in our offering this is a market that is probably growing around 4% or something like that. We believe that we're going to be able to grow faster than that market in the foreseeable future. And that is very much based on the fact that we have built quite a lot of electronic security experience in the last five, six years. We have a strong and very capable leadership team, which will be complemented by many strong leaders within the Stanley business. And then like I mentioned, I mean this will be a home for Stanley Security where the Stanley Security team is going to be at the center of our strategy. And I think that is important for attracting and retaining good talent, but it's also from a client perspective something that has resonated very, very well because they also see that we are becoming significantly more attractive as well as a partner when we are strengthening and really building a platform in terms of technology and electronic security where the ambition is that we will really have the leading offering, but also that we're going to win significantly more in the market.
Andreas Lindback: Should also say that we actually -- we also see this effect from the five countries that we acquired from Stanley earlier as Magnus referenced to here earlier. They have not been coming into our business where we see positive impacts on the growth where we are sort of able to start to grow those businesses in a good way. And we also referenced the Techco acquisition that we did in Spain which was previously owned by Stanley as well when we discussed this in December. And there we have also really seen the same sort of positive impact coming into our business being core of the strategy and driving growth together there. 
Magnus Ahlqvist: And I think that's an important point Andreas because that is -- it's related very much to having critical mass in terms of competence, in terms of having critical mass, in terms of technical expertise and also position in the market. And like Andreas says when we have done that we have also seen that that has not only helped them enhance the business that we acquired, but the combination has become significantly stronger. When we look at the combination of existing securities electronic security in a country like Germany for example or Spain, but then combining with Stanley Security business that we acquired in Germany or what we bought in Techco in Spain, the combination has been significantly stronger and much more profitable business related to some of those factors. So that is obviously something that it's very high on our agenda and clear ambition to make sure that we achieve that and that I feel very comfortable based on the experience we have but also based on the combined leadership and competence as well that we're going to have in this field.
Kate Somerville: Thank you. Very helpful. Thank you. 
Operator: Thank you. The next question comes from Sylvia Barker from JPMorgan. Please go ahead. Your line is open.
Sylvia Barker: Thank you. Hi. Good morning, everyone. Two questions from me as well please. Maybe first touching on the price versus volume performance. You have obviously managed your price wage balance in Q4 and you're very confident for 2020. But just to help us think about the organic. Could you maybe talk about the Q4 price versus volume component within your organic? And then going into 2022 I presume you've had a lot of your collective, but how do you expect that developing Q2 and onwards?  And then finally on provisions, so you haven’t -- didn’t see 530 million on the balance sheet has changed in the division – provisions that you took during 2020. So if we think about 2022, at what point will these be revived again and what were conditions be for these to be released back into the P&L? Thank you.
Magnus Ahlqvist: Thank you, Sylvia. Well on the price volume part, if you are looking and here please follow-up if I don’t cover all the questions or the comments that you made there. But if you are looking at price volume performance in the four quarter, it is significantly higher price increases -- price increase level in 2021, then what we would normally have. And I think that’s important. And if we're talking about normal years being around two or three, or maybe, you know, 3%-plus or something like that, it is a higher price increase level in the market and also what we are receiving. So if you're looking at organic sales growth, obviously, we now have a number of different factors. The extra sales, they or you know, with a very significant negative impact compared to the previous year in North America. But that is an offset by the growth in the portfolio and the underlying portfolio and that growth is healthy and there is a volume component in that portfolio growth, there is also a significant price component there as well. And if you're looking at 2022 and then we have been expecting and we are expecting significantly higher wage inflation and that also means that our ambition in terms of price increases is significantly higher as well. And when we're making the comment that we feel that we are well-positioned, it's essentially because we've had very good traction and understanding in the work together with the clients understanding the situation, but also then based on the good value proposition and the good relationships and the service delivery that we have also very successful in terms of achieving those price increases. So that is really the position that we are in right now. If you look at the second question related to the extra sales that is spread over a couple of different countries, but we call it out because there is a positive impact. Obviously, as situation is hopefully normalizing over the next couple of quarters that is something that will then come down, but then once again, also seeing that we will also start to have resuming more normal type of extra sales-related activities. I think if you're looking at countries there's probably four or five countries with key markets like Sweden and Finland and Germany, et cetera where this has an impact today. But like I said, if we hopefully have more of a normalization of the overall situation those will come down. Andreas, do you want to comment on the provisions? 
Andreas Lindback: Yes. Related to the provisions they were then largely untouched during the quarter here. And so we are continuing to assessing this, of course. And as you know we increased provisioning during 2020 in the light of the pandemic and also the more increased risk environment that we're having in place. And now we go ending 2021 and the pandemic has continued of course and there is continued uncertainty around this going forward as well. So that is why we have decided then to not touch these provisions for the year end. And going forward, of course, now we see the pandemic hopefully ending. We also see the effects coming here in the market with increased inflation and then also increased interest rates, which creates uncertainty going forward. So that is the reason why we decided to keep these provisions and see what impact this new environment will have. And of course, we will keep you updated around this. But what I should say also we have not seen any increases in for example client losses here during 2021, but that can of course change then if the uncertainty would remain or the macro environment would worsen in June 2022. So that is basically how we're assessing the situation here right now. 
Sylvia Barker: Okay. Thank you very much for the answers. Can I just follow up quickly on -- just on the pricing point. Just to be clear you see the price point in Q4 potentially more of a 3% to 4% contribution to organic and that kind of staying at that higher kind of mid single-digit level in 2022. Just to make sure that I understand the comment. Thank you. 
Magnus Ahlqvist: Sylvia, we don't break out specific numbers but it's somewhere in that type of a range. Yes. 
Sylvia Barker: Okay. Thanks so much.
Operator: Thank you. The next question comes from Andrew Grobler from Credit Suisse. Please go ahead. Your line is open.
Q – Andrew Grobler: Hi and good morning, everybody. Just two from me, if I may. So going back to wage and price again. You've talked a lot about North America and the trends you're seeing there. Could you talk a little about Europe and which I guess is lagging in terms of timing of that inflation. What you saw at the end of last year and what your expectations are for this year, if different to the US? And then secondly, just Ibero-America. You talked about strength in Spain and some price increases in Argentina. Could you break that down a little between those component parts? Thank you very much.
Magnus Ahlqvist: Thanks, Andrew. Yes. So if you look at price wage, I mean we have been preparing, given what we saw in the early parts of 2021, we have been preparing for these price increases since last summer essentially. And that's across all parts of the business but with a lot of emphasis and focus in North America and in Europe. If you're looking at Europe, correctly stated that we are a little bit later in the process there as normal. And -- but I think a few important factors. One is that we are well prepared, I also believe that it does help us as well to a certain extent that it's not only -- there's not only acceptance of price increases of components, but I think people have also realized in North America and in Europe that there has to be a revaluation as well of people. And I think that is an important one that there is a broader awareness, of this particular matter And there I would say that, we are later in the process, but we have seen that they put a lot of emphasis and focus on this and also with an ambition to drive significantly higher price increases in 2022 than in a normal year in light of that context. And that's where we are. So we always are humble. But we do see that we are well positioned and that's thanks to the good track record that we have, in terms of, handling this over many, many years but also then the results that we have achieved more broadly speaking, to date. So I think that is the way that we look at the situation. And the other positive thing, of course is, that we are strengthening continuously electronic security and solutions capability. And not like we come into the clients and just saying you know we need to increase the price. Well if nothing else and if we always have option as well to look at the security equation and say how do we drive improvements and at the same time also protect the value for money and the value of that security equation with more with more integrated solutions. So that is also something, which is high on the agenda and part of most of those discussions as well. I think the second question was related to Ibero-America and the performance there. And we do have a strong performance from Spain. That is a very significant part of the sales growth, if you look at the organic growth numbers but also the profitability development. But then we are also in a better position in Latin America. We have taken extensive actions, as you know over the last couple of years in terms of leadership and also active portfolio management to make sure that we have a healthy portfolio, and all of that is also helping and contributing. So we are not that focused on driving top line growth, most important for us, as you have seen now especially in -- yes, in all of 2021 is that we're focusing in Ibero-America, but also the other divisions and the quality of the portfolio. And that is really the priority number one for us. And that I feel really good about is really also starting to come through. And that's the reason that you're seeing margin improvements across all the different business segments as well strong offering, but also then very focused on portfolio management and working closely with the clients to make sure that we have a good and healthy portfolio as we go forward. 
Andrew Grobler : Great. Thank you. And just one quick follow-up, if I may, going back to the previous question. You talked on significantly higher price increases in Europe. Should we be thinking about 3% to 4% that you mentioned in North America? Is that the kind of right kind of ballpark?
Magnus Ahlqvist: Yes. I mean, we don't break out the numbers. But when we highlight it and I think we have historically made references to where would the normal type of price increase be in normal years it will be lower than the interval that you mentioned the interval that you mentioned is more -- I mean it's on the higher side. We are expecting this, and we are planning for that. And that is really the focus in a lot of this work given the environment that we have, but also to ensure that we can stay competitive in terms of attracting and retaining good people and delivering really good service to the clients. And that is number one priority, and we feel good about where we are in that work.
Andrew Grobler : Great. Thank you very much.
Operator: Thank you. The next question comes from Stefan Knutsson from ABG. Please go ahead. Your line is open.
Stefan Knutsson: Good morning. Thank you for taking my question. I have two. First one, we talked a lot of wage versus price increases, but generally on your pricing power. I mean, last year we saw Allied Universal acquiring G4S and now you're acquiring Stanley Security. To me that indicates that for the really blue chip customers, the global customers, the competition has decreased quite a lot in the last two years. Is that how you view it? And do you expect that you will have a better pricing power going forward?
Magnus Ahlqvist: Thank you Stefan. Well, I mean, if we talk about us, because this is the business I know, it is a large unconsolidated market when you're looking at guarding, and also when you look at electronic security. And yes, I mean, we are strengthening our position. But if you're looking in terms of market shares, largely speaking, I mean, it is -- there is still a lot of competition local and regional and then some global. I think what is so exciting when you're looking at the combination with Stanley is that we have one strong leg in terms of guarding, but we're also now creating another strong leg in terms of electronic security and that gives us an opportunity to also then drive more integrated security solutions for the clients. And, I mean, we have been investing quite a lot in the Global Client business for a number of years. We have a strong position. This is a faster growing part of our business. Ambition for us of course is to keep that up and keep building and driving that momentum in the years to come.
Stefan Knutsson: Thank you. And then secondly about the working capital requirements. Is there something structurally that has changed with you still being able to keep it at a lower rate than pre-pandemic?
Magnus Ahlqvist: No, I think the good cash flow generation and the sort of lighter balance sheet is mainly due to really, really strong collection focus from the organization throughout the year. And then of course, we are increasing the focus on net working capital now in light of the announcement of Stanley, but there is no structural change. It's more really good work and step by step improving our processes for collection and how we are driving sort of contract management and other areas as well. So I would say it's more an outcome of really solid work and attention rather than anything structure.
Stefan Knutsson: But you aim to maintain the DSO that we saw in Q4, or do you see that it will normalize somewhat next year?
Magnus Ahlqvist: If you look historically overall, I mean of course, we are aiming to improve measuring this very much on a year-on-year basis because then you also have some seasonality, where at the year-end, as you can see we normally have stronger cash flow and reduced DSO where there is an extra focus also on getting the cash in. So we are aiming to -- aiming of course to have the same focus and the same level. But we should compare to previous year's quarter, not sort of quarter-on-quarter, given there is some seasonality there.
Stefan Knutsson: Okay. Perfect. Thank you very much.
Operator: Thank you. The next question comes from Allen Wells from Jefferies. Please go ahead. Your line is open.
Allen Wells: Hey, good morning, Magnus, good morning, Andreas. A couple of questions from me please. Just firstly, you pull out in the statement and you've commented on some of the supply chain shortages in the electronic security side of the business. Is there any way you can maybe help quantify or maybe provide some qualitative comments around how that might actually be impacting growth? And then any comments you might have on if you see any easing in that and what the timing of that might be? I'm obviously, particularly, interested as the Stanley deal closes. I assume you would be slightly more exposed to some of those shortages with that higher tech exposure there as well please? And then the second question, sorry just going back to the North American labor side, but maybe more around labor shortages and staff retention. Are you seeing any challenges there? Is there actually any real way that that is actually inhibiting growth within the business, as well your ability to take on new work or additional work or you're having to turn down work, because you don't have enough kind of flex or capacity within the group at the moment? Thank you very much.
Magnus Ahlqvist: Thank you, Allen. So if you look at the component shortages, yes, there is a significant impact. But I mean to quantify that, it's a little bit difficult to say how many percent that would be, but that we're talking percentage points absolutely. And I think that is something that if you're looking -- how do we actually handle that? Well, it's very actively then prioritizing essentially the key components for key clients depending on urgency. So that is one. I should also say that if you look at the electronic security in the installations business, I mean, there has also been an impact from the recent months in terms of the pandemic because a number of clients have also said that we need to reduce the limit or not even grant access to our premises. So that has also been a factor and that's something that we are hoping. And I think the entire world is eagerly hoping for this situation to now start to normalize, hopefully in the coming quarters. So those component shortages plus also some of those COVID related that has had an impact, if you're looking at electronic security in North America, but also elsewhere. If you look at – I mean, the second question in terms of labor challenges. Yes, there has been an impact. I mean, there are some contracts that we are saying no to. And that could be no business, but it could also be, how we are renewing or not renewing existing contracts related to scarcity in terms of labor. And there just to reiterate – that is well, that is why its so important that we are not too much focus on just the top line growth and so that when we have lower performance contract with lower margins that we also then always as the first attempt is that for them renegotiate, so that we have sustainable and good margins, because that enables us to secure also the quality of the services and how we drive innovation over time with the clients. But if that's not possible, if it's not possible to convert a solution that we then also or terminating those contracts, because otherwise it's not going to be a sustainable situation. So I think that the broader shift that, we have been driving in Securitas in recent years is even more emphasis on the quality of the portfolio. And obviously, the best metric of the quality is the profitability of the portfolio and its individual contracts. But that fact, if you're looking at growth impact, yes, there has been a negative impact in North America. I also know a few examples as well in Europe, but we've actually had to say no to potential new business because of this situation.
Allen Wells: And can I just ask one quick extra question, sorry. Just to what extent you can comment, obviously, the kind of Omicron new restrictions late December and in January. To what extent have they had any impact in the group at all please?
Magnus Ahlqvist: So, primarily on the installations related. I mean, when we talk about electronic security that has meant that, we saw another wave of clients et cetera that were very restrictive or not granting access. So that has been an impact. But having said that, I mean, that is in the last 60, 90 days essentially. And now we're seeing that, the situation is improving, again. So yes, there has been an impact, but it's been fairly temporary.
Allen Wells: Great. Thank you very much.
Operator: Thank you. The next question comes from Anvesh Agrawal from Morgan Stanley. Please go ahead. Your line is open.
Anvesh Agrawal: Hi. Good morning. Just got a couple of more questions. First on that, accounting change related to the cloud computing arrangement cost. Can you just tell us like historically, if this was treated as CapEx. How was the depreciation related to that or amortization related to that treated? Was that above the line or below the line?
Magnus Ahlqvist: Related to the cloud computing here, historically looking we have basically expensed these things and that is why it doesn't have an impact for us historically as well. So…
Anvesh Agrawal: So the point is like you expensed it, but did you expense this above the line or below the line? I mean, like was it part of the adjusted EBIT number excluded from the adjusted EBIT calculation as well historically?
Magnus Ahlqvist: It was taken above the line. 
Anvesh Agrawal: And now going forward, it will be taken below the line, right? Because it part of the ISE –
Magnus Ahlqvist: Well, if it is part of the ISE transformation programs, yes. If it is more regular business, it would be above the line. But we don't see any material projects there going forward from that perspective.
Anvesh Agrawal: Okay. Because you said that, we need to have around SEK250 million of ISE in our model from over 2022 and 2023, right? And I'm just wondering, whether this SEK250 million was above the line historically and now it is taken below the line.
Magnus Ahlqvist: But exactly if you're looking going forward here you will have SEK250 million more items affecting comparability but you should also expect that, SEK250 million less CapEx. And that CapEx would have been above the line.
Anvesh Agrawal: Okay. Fine, that's clear. And then, just a second question around the North American growth Magnus. You sounded like it could be slightly negative in Q1, Q2 because of the contract exits. And the, unwind of the extra sales. Can you just tell us, how much of extra sales you had in Q1, Q2 this year for the comparison basis, please?
Magnus Ahlqvist: Yeah. So on North America and the reason I commented that, is that, when you're comparing with Q1 and Q2 2021 we were running at very high levels, in terms of extra sales. So the comparatives are high. And that was also the case Q4 2020 to Q4 2021. And for that reason, I mean, if you're looking at the flat growth in North America the main factors if I simplify this in North America in Q4, on the positive side we had very good portfolio development. And that was then coming back to the earlier question price driven but also some volume impact. But then we had several percent of negative impact related to normalization of the extra sales. And it's not one or two. It's a little bit more than that. And then, obviously, there was also some negative impact from the aviation contract, that we announced termination of I think in the summer of last year. But there was also a small impact from the larger health care contract that we announced with the Q3 results. So when you're looking at those there will obviously be a negative impact over Q1 and Q2, to be clear. But after that, I mean, everything else equal, we feel confident in terms of our business and where we are. But the temporary impact, looking at the extra sales reduction than in the first half of 2022 and then also from the larger but low profitability contract termination that will be clear in the first half. And there you can say well that's obviously a negative. We don't like negative growth or neutral growth. But, it is most important for us that we have good quality in the portfolio. And these factors are of a temporary nature as well. And I think that is important. So we feel good about the situation. I mean the most important is also the profitability development that we are -- that we have positive profit development and also margin over time.
Anvesh Agrawal: That’s very clear. Thank you, so much.
Operator: Thank you. Our last question comes from Karl-Johan Bonnevier from DNB Markets. Please go ahead. Your line is open.
Karl-Johan Bonnevier: Yes, good morning. Just coming back a little to the US retention rates that, we have obviously talked about it in -- from a lot of different angles here. But if you look at that 86% adjusting back the big contract impact, how would you feel that the retention rate has been in your more normal bread and butter contracts, if you could like that?
Magnus Ahlqvist: Hey Karl-Johan. Yes. So that is primarily the big impact, if you're looking at the retention in North America. The general development of the portfolio is good and I would say even improving. So, there is a big impact from that specific one. That was in the range of $150 million on an annual basis portfolio values around SEK 1.3 billion. So it's obviously large contracts, but low margin. Apart from that, we are in good shape and continues to develop in the business in a good way.
Karl-Johan Bonnevier: So the part of the business that you talked about being say, the quality of the portfolio, you still feel, there is nothing happening so to say with normal kind of bread and butter kind of customers of yours.
Magnus Ahlqvist: I would say rather the contrary. I think, we're becoming better and better all the time in terms of how we're working with the clients. And also, I mean I spent quite some time talking about the North America transformation program today. Not only with good leadership but also with better more modern applications and tools and better transparency and visibility in terms of performance. All of this is also helping a lot in the client relationship. So, the trend I would say, we feel really good about in terms of the work that the team is doing, but also then starting to see now and realize some of the benefits of extensive modernization efforts that we have been driving over the last couple of years.
Karl-Johan Bonnevier: Good point. And then bring on me to the next question. Looking at say very helpful, the extra comment you gave earlier on the US North American business transformation program. And obviously, with the knowledge from that now in your bags so to say and also the global IS/IT project finalized, when you now then turn focus to the European A and American program, do you feel say more confident in the delivery on those when you look at up until 2024 and maybe that you have built in some sort of extra prudence into the impacts you will see coming through on those programs at the end of it?
Magnus Ahlqvist: Yes. We have -- and that's a highly relevant question. We have learned a lot and we are really also proud about the fact that we have been able to drive these extensive programs, on time, on budget and also with now emerging returns, which are very positive. So I think, that is important. So there is quite a lot that we're also bringing, to the other programs, in terms of, how we run this and also then how we build platforms and systems and applications to really support the business in the best possible way. But then I should also say -- so I think that is very positive. And that will -- I mean that is giving increasing confidence, in terms of, the opportunities and what we are able to do, once we have -- once we are done with the heavy lifting because these are extensive modernization efforts that we have been driving over the last few years. But I should also highlight that if you look at the European program, that is also completely different starting point, many different countries, more difference in terms of legacy systems. So that is one year. It's a multiyear program. But we have a clear view, in terms of, what we want to achieve, as one important part. But then I think, the other aspect of the European program as well is that it's, is not only modernization and harmonization of systems and ways of working. It's also how we are shifting the business mix. And that is an important part also of the European transformation program. So we're doing the right thing. I feel really confident about the reasons why we do it and how our team is combating the work but they’re also multiyear program. But we do feel good in terms of the experience also in the context of Europe and the important investments also in Ibero-America.
Karl-Johan Bonnevier: Excellent. And a final one for me. When you presented the Stanley Security case now to competitive authorities in the relevant geographic regions, have you encountered any feedback that you might feel are a risk to a sliding in the completion of the acquisition?
Magnus Ahlqvist: No. We made some preliminary assessments ourselves before. If you're looking at these markets these are still largely unconsolidated markets and there is nothing in the work that we have done that is changing our positive view of that. 
Karl-Johan Bonnevier: Thank you very much.
Operator: Thank you. There appear to be no further questions. I'll return the conference back to you speakers.
Magnus Ahlqvist: Okay. Thanks a lot everyone, for joining and for your interest as always. Thank you.